Dave Huizing: Good morning, and thank you for joining today's call. I'm sitting here with Ralf Schmeitz, our CFO. We published this morning our third quarter trading update together with the presentation to investors, which you can find on our website. Here, you can also find our disclaimers about forward-looking statements. Following Ralf's opening comments, we will open the line for questions as we usually do, and we have planned today 45 minutes in total for the call. Important to remind that the sell-side analysts who want to ask questions have to register via the questioners link, which they can find on our website in the financial calendar. If they have not done so yet, they can still do that by switching now. And with that, I think we can start. Ralf, the floor is yours.
Ralf Schmeitz: Thanks again, Dave, and good morning, everyone. Early start again of the day, but pleasure you're taking time to be with us on our Q3 earnings call. It's been yet another exciting quarter here for us. We continue our journey. I'm pleased to see many of you virtually online again. Let's dive into the quarter, like I said, an exciting quarter, but also a good quarter. And let me start with a couple of highlights on the next page. So overall, continued strong organic growth in the quarter for the company driven by volumes. We see the performance of P&B and TTH continuing into the third quarter, similar to what we've seen into the second, which is good, and that obviously translates into a good step-up in profitability as it's coupled with the continued step-up in EBITDA as well in HNC and ANH. In our results, the contribution of synergies are clearly coming through, including the efforts from the vitamin improvement program, and we'll zoom into that when we look a bit at the business units as well. I do want point out that we also see sales synergies contributing now to the growth. We talked about some initial contribution already in '23 and in the earlier year, but it's now more profound with at least 1% of that contributing to P&B and about 2% in TTH, but we'll cover that when we get to the BUs. On the strategy side, we continue to make progress. We're well on track with the separation of the Animal Nutrition & Health business. As I said, that is continuing as per plan, but also pleased that we completed the transaction around the sale of our yeast extracts and marine lipids business that we announced just before the summer. In case you haven't picked it up, also our sustainable goals have been meanwhile approved by SBTi. So we're pleased that we continue that journey. And I'll come back to that at the end of the call when looking a bit at '25, what we want to do around the sustainability efforts and bring that narrative to you as well. Last but not least, we've upgraded our outlook to towards EUR 2.1 billion, and we'll wrap up at the end of the call ahead of the Q&A, one of the key drivers for that as well. If we then turn to the next page, we can actually see what that means in terms of actual numbers. And here, you can see that the strong organic growth that I was alluding to, overall, 9% volume for the group, and we'll see in a minute what that translates to for each of the BUs because they all have got their own dynamic. But across the board, very pleased with the step-up in performance. And that's obviously translating into a strong step-up in EBITDA, which is further fueled by the contribution of the synergies and the programs, as highlighted earlier. So overall, we see an EBITDA step-up of 32% versus prior. But you'll also hear me say it's about sequential improvement as well also versus Q2, we see on a like-for-like basis, a step-up of well over 6%, growing EBITDA back to over EUR 540 million, including an improvement in margin as well, which is sequentially improving every quarter by almost 1%. So we're very encouraged by that. If we then look at what does that mean year-to-date for the group on the next page, please. Overall, that brings the EBITDA for the group to over EUR 1.5 billion, a step-up of over 17% versus prior. At this point, I also want to highlight that overall, we've seen a strong step-up in our cash performance as well. Overall, delivering EUR 880 million of cash flow Q3 year-to-date, a big step-up versus prior, but I think last year, we didn't have the right phasing throughout the year. The step-up half year through the year and Q3 is 70% versus prior but we've also guided to you that it's our ambition to already meet the target that we communicated in the Capital Markets Day of 10% of sales this year despite the fact that we are still acting including Animal Nutrition & Health today. So also pleased with the progress there, and I'm sure you've got some questions around the developments on working capital, which we can cover in the Q&A. Now let's zoom in into the business units, then we also can talk about the ongoing momentum there. If we go on to the next page and start with Perfumery & Beauty. Like I said at the introduction at the highlights, very strong organic growth, again, well into the double-digit volume growth on average for the portfolio with our fragrance business, our perfumery business, showing a very strong volume growth again into the third quarter. Both Fine and Consumer Fragrance continued to do very well. But we also see a continued strong performance in our Ingredients business and also Beauty & Care continues their growth trajectory, averaging out at 11% for the business unit. What's also encouraging is the EBITDA quality of Perfumery & Beauty, again, delivered almost 23% of EBITDA margin, which is nicely in the middle of our target that we communicated at Capital Markets Day, but what is encouraging is that we see that continually gradually improving, which is something that is encouraging for the quality of the business. It's not on the slide, I do want to call out the year-to-date performance of P&B as well. The volume growth there is well into the double digit for the business. And also the EBITDA step-up versus prior is well over 15%, which is a very strong performance for the business, and we're happy with that. Then moving on, Taste, Texture & Health on the next page, please. Also here, we recorded a very strong performance with volumes again up 13%, well into the double digit. Again, pricing continues to be strong as well. And here, what I alluded to in the highlights as well, we see the synergies kicking in. The pipeline in TTH continues to develop positively. We see part of that already being translated into wins. But moreover, we also see it translating into actual invoiced sales, which me as a CFO, I'm always keen on measuring that as well. We do have both monitoring the pipeline, but at the same time, pleased to see that we start to invoice sizable numbers towards our customers as well, which is reflecting the combination and the power of the combined offering that we now have. If we look at it a little deeper at the segments, both the Taste business and Ingredients is doing well, albeit keep in mind the Ingredients compared to an easier comps given the destocking of last year. What's also encouraging is the development of the EBITDA margin. First of all, the absolute EBITDA is up to EUR 162 million, which is a very strong increase versus prior. Here it's over 20% step-up. But also the margin quality is improving with almost delivering 20% margin in the business. Also here, year-to-date, very strong performance with our Taste business up double digit and also Ingredients showing continued strong performance and year-to-date EBITDA step-up of well over the 10% as well. Then turning to the next page, our third business, our Health, Nutrition & Care. Here, we see continued further gradual improvement of the momentum and the markets. We turned positive growth in Q2, and we see that increase further into the third quarter with a 5% organic growth, which is fairly consistent across all of the businesses. So both our Dietary Supplements business, our i-Health business, Biomedical business, all growing at a similar pace, which is -- continues to encourage us in the direction that we're taking. What's good to see is that we see a stronger growth in Early Life Nutrition that moved into the double-digit. However, here, a word of caution as well, it's obviously against an easier comps, where we saw some profound destocking at the end of the year. Nonetheless, the momentum is improving there as well and also further fueled going forward with our HMOs where we have good traction on the regulatory front. Versus prior, EBITDA is up 28% in HNC as well, and we continue the trajectory of continuously improving our EBITDA and our margin in Health, Nutrition & Care. I do want to highlight here as well, I should have done that at TTH as well, where we have completed the sale of our yeast extracts in TTH. That is not contributing in Q4. The same we have in Health, Nutrition & Care. Pleased to see that we were able to close the deal with KD Pharma as well. We will be no longer consolidating our marine lipids business as we've sold our business in exchange for a 29% stake in the combined company of KD Pharma. And obviously, that contribution will no longer than be visible in top line or EBITDA as you'll see it in the result of associates going forward. Then last but not least, on the next page, our Animal Nutrition & Health. Also here, good growth in the quarter. We see a 7% organic fully volume-driven with Performance Solutions continuing a strong year. Year-to-date, I do want to call out that performance, high single-digit growth for Performance Solutions on the back of a strong growth last year. But what's encouraging to see in these numbers is that also Premix is picking up, and we see traction there. We see an improved environment but the EBITDA is very much driven by our own efforts around the vitamin improvement program, which is on track. Overall, absolute EBITDA now at EUR 80 million, and it's not having any significant tailwind from the force majeure. That's something that will come in Q4. We've also been guiding you for that and we've translated that into our outlook, but let me remind you why that is. We had a volume and pricing commitments made ahead of the force majeure, and we are adhering to our commitments to our customers. That is important for who we are as DSM-Firmenich. So the first opportunity there is Q4, and we'll see that benefit come through as well. Now to what does that all translate to in terms of outlook? And that's on the next page. So overall, we've upgraded our outlook towards EUR 2.1 billion. We see good business conditions going into the fourth quarter as we're closing October today. So we have visibility on top line developments there. That's all baked in. At the same time, we'll see the regular seasonality in our P&B and TTH business, which is largely impacting December. So nothing out of the ordinary there, but the momentum is continuing with respect to pipeline and order book. At the same time, the fourth quarter, we'll see a bit more of a negative impact than from FX that we've seen before. You've seen the impact into the third quarter of about EUR 15 million. We expect something similar going into Q4, which is a bit more negative than what we originally had foreseen. And keep in mind that we will no longer have the EBITDA contribution of our marine lipids and yeast extract business. Nonetheless, we're upgrading towards EUR 2.1 billion. We are including the high end of the guidance of the impact of the force majeure. So we're firm around the EUR 80 million, and that brings the total outlook to EUR 2.1 billion. At the same time, we've included the regular housekeeping for your modeling purposes, but there's no surprise there, and it's been very consistent, and we're delivering also in line with that in the third quarter. And I think with that, we want to leave ample time for Q&A. So maybe with that, back to you, Dave.
Dave Huizing: Yes, indeed, a good moment to start. I think we all -- probably most people now know what the drill is, but let me remind everybody, so it's basically the sell side can ask questions and the sell-side analysts who want to do that have to have be registered via the questioners link, which they can find on our website in the financial calendar. And if you have not done so, you can still do it now. All the other participants can listen into this Q&A session simply by following this Zoom meeting. Operator, are we ready to start with first person to ask a question.
Operator: [Operator Instructions] Our first question comes from Lisa De Neve from Morgan Stanley.
Lisa De Neve: I hope you can hear me. I have two questions. The first one is really on the free cash flow, which appeared very strong versus first half in the third quarter. Can you just share the moving parts to that free cash flow strength? That's my first question. And then the second one is on the EBITDA. So overall, the EBITDA seemed quite strong on the group, but I just wonder if you could unpack the moving parts in P&B because the drop through to the EBITDA seems to be less on that level. So I just want to understand if that's FX or mix or whether there's other moving parts in there?
Ralf Schmeitz: All right, thanks for the questions. No, happy to do that. Let's start with the cash flow. As I said, please with that pickup. I think it's also representative of the journey we're in. We've been more disciplined in the way we manage our cash flow. We're targeting working capital ever since the second half of last year. We see a continued reduction in our inventory. Overall, working capital at the end of the period was the first time below 30%. We originally came from well above 35%, and we've been gradually improving with the aim to land somewhere towards the high-20s. Again, we're doing a continued effort on the inventory side. We're making the progress. We are focusing on a further reduction on that front. But at the same time, we apply good discipline around our receivables and payables. So we're happy with the performance there. The overdue is moving consistently to around 5%, sometimes be lower. You know that my ambition is to be at 4% there. So it's all about the discipline and also at the payable side, we're pleased with the performance of the procurement team. So all in all, that is a key driver. At the same time, we're carefully managing our investments. We want to invest in future growth, whilst at the same time being disciplined where we need to be. So overall, our CapEx today stands at around 5% of sales. We're guiding for 6%. We typically see somewhat of a pickup in the fourth quarter, but at the same time, we're also monitoring that we make the necessary investments to fuel our future growth on the mid- to longer term. So that is moving parts. So we see a good EBITDA to cash conversion, and that is something that we remain focused on also going into the fourth quarter. Then maybe tilting to your second question around EBITDA flow-through. Indeed, overall, happy with the performance. So we see a continued step-up also versus the second quarter, you had an increase of EUR 30 million. Now you asked specifically about P&B, I think with the 23% margin drop through, very pleased with that performance. We see the growth continuing. At the same time, we're investing for continued growth. We see a good momentum in the business. So we're making the necessary investments there. But last year, we also called out that the margin was 23%. That was on a bit of a different mix impact. Here, we see a consistent improvement of margin. Also, if you compare it to H1, that is something that we're focused on, on P&B as well. So overall, pleased that we've almost topped the 23% in the third quarter.
Operator: Our next question comes from Charles Eden at UBS.
Charles Eden: I'll limit them to two. Just firstly, and I guess it's a slight follow-up on the P&B, but you had a very strong volume growth of 11% in the quarter, but price/mix was down 2%. I know you don't include hyperinflationary pricing in your organic sales growth. So that slightly explains the delta versus some of your key peers, but probably not entirely. So is there a negative mix in the business? Or have you taken pricing down somewhere? Could you just sort of go into a little detail on that in P&B? And then on ANH, you stated in the release that the transaction is well advanced, I quote, but I see the timeline included at the back of the presentation this morning is unchanged. Is it possible the completion could come forward from the second half of '25? Or do you think that the sort of timeline in the presentation is still the right one to be assuming at this stage? And then if I just add a very quick follow-up. You mentioned some production shutdown costs in Q3. Can you remind us what, if any, of your capacity is still currently offline, please?
Ralf Schmeitz: Charles, thanks for those questions. So on P&B, we have continued pricing strength similar to that what we've seen in the prior quarter. The negative pricing effect is mainly in our Ingredient space, where it's merely also a pass-through of raw material developments where a part of our contracts have normal formulas. And you can see it in the margin profile, whereas Q2 was impacted by some one-off costs, and that was in the 22s. Adjusting for that, we're now close to 23, just showcasing also the strong quality of the P&B portfolio mix that we've seen. You also rightly picked on. We're not factoring in the FX. We have the FX outside of our organic growth. So there's no impact from that. And looking at the overall brand, you've seen that strong performance in our Perfumery volumes into the third quarter. Then looking at ANH timelines, they are unchanged. We're progressing as per plan, but that plan really includes us going into the market early 2025. And then you have the regular timing. It will take time to come to a transaction. And then you've got the regulatory approvals that will have an impact on that. So that timing hasn't changed for us. So we don't see an acceleration of the timing, but we are on track with our efforts in line, given the timing that we set ourselves. And we are preparing for launch in the market in the beginning of 2025. Then you had a third one. Could you remind me of that one?
Charles Eden: Yes, just if there is any repair sites still applying.
Ralf Schmeitz: No, it's something that there's still a good part of that. Remember that we also announced a long-term or lifetime extension shutdown in some of the vitamin plants, and that's been running also up until October. Our vitamin A plant, for example, is only up 1.5 weeks ago, and we're ramping that up. So -- but across the board, we remain disciplined in our inventory levels and disciplined around cash. So we still have around 25% of capacity down in certain spaces that is impacting also the shutdown cost.
Operator: Our next question comes from Matthew Yates at Bank of America Securities.
Matthew Yates: Ralf, it's nice to see the HNC business back to solid organic growth and the margins progressively trending higher, but 17% is still quite far below your midterm aspiration for that division, which I think was about 22%, also at the midpoint. Can you just help me understand how you're going to get there over the midterm? How important is the repricing of vitamins within your customer contracts, I guess, that take slightly longer to reset than we're used to kind of that quarterly basis on the animal side? And can you just explain sort of how margin accretive the lipids, the marine lipids disposal is going to be next year? Just how much margin expansion are you thinking this division can deliver over the next year or 2 to get towards that mid-term aspiration?
Ralf Schmeitz: Yes. Great question, Matthew, and thanks for that. And as also communicated in Capital Markets Day, we have a clear path to also bringing the agency business up. You saw Philip on stage as well talking about the key levers, and we're well on that journey. And let me give you a couple of the highlights. So we see a continued improvement quarter after quarter also in Q3, and we're managing also that going forward also into the fourth quarter. But let's also see what was a key driver of the drop in margin in HNC. It was not necessarily the price. And of course, there was a pricing effect in HNC as well, but it is also a volume and an idle cost. And what we saw at the beginning of the year, it took time for markets to stabilize and also dietary supplements markets only started to show growth for the first time at the beginning of the year, then things stabilized, and we're now back to growth. So with the volume growing, that will also improve overall the coverage within that space. And with that, we see a continued improvement in margin. At the same time, the vitamin improvement program will contribute to the margin quality of HNC as well and bring it back to more appropriate levels coupled with synergies. Also here, we're focusing on the pipeline. The pipeline developing is developing nicely in HNC as well. will take a little longer before we actually see that translating into a more sizable contribution to actual top line to invoice top line because this is typically where you introduce new concepts and they have had the opportunity for cross-sell and earlier wins in HNC is a little lower than in P&B and TTH. So that will take a little longer, but that will contribute to a step-up in that margin profile as well. So going into next year, very much driven by volumes. With that, we will see a leverage in the organization. We will focus and we will continue to deliver on the vitamin improvement program also contributing to the step-up in an HNC and also then we've got some new innovations coming into steam upgrading the overall quality of the portfolio in HNC. So these are the key moving pieces on that front. And then you also asked around marine lipids, that will contribute up to 50 basis points to a little over depending on the quarter, but there, we also see that, that will further enhance the overall quality of agency. But as you said, it will take a little longer, but we should see continued margin expansion into the next 2 years towards our midterm ambition.
Operator: Our next question comes from Nicola Tang at Exane BNP Paribas.
Nicola Tang: The first was on -- thanks for quantifying this EUR 80 million vitamin price impact for Q4. Bearing in mind that the BASF outage is sort of going into next year, could we expect some impact on the human side as well? And to what extent can we extrapolate that EUR 80 million for ANH also into next year? That's the first one. And then the second question, just a general question around volumes. Do you think -- I think in last quarter, we talked a little bit about potentially some restocking going on in TTH, something that Dimitri might have mentioned. But actually, it looks like you've had a pretty strong quarter again. So do you feel whether there's any sort of restocking impact in your business at all? And I think some of your peers are talking about more normalization in Q4. Is that a view that you share?
Ralf Schmeitz: Nicola, thanks for questions. Good to hear you online. Let's tackle them one by one. Let's start with HNC. Typically, the contracting season is annualized. That's why we also indicated a little contribution in HNC this year, also given that we have limited volumes available, given that we're focused on our inventory reduction. Going into next year, this should help as well. We're now in the midst of contracting season. And so hopefully, we'll see some additional volumes come through and also some improved pricing at the HNC front. But keep in mind that the current vitamin effect is largely driven by vitamin E, whereas obviously, the impact on HNC is a fraction of what we've seen in ANH. So it's about 10% of that. So the vitamin E volumes going in. But the overall dynamics in the market is good. So we're also anticipating an improvement from the vitamins in HNC going into next year. Then talking about next year and ANH, the EUR 80 million is Q4. So that will -- is something that we anticipate to see in -- going into Q1 as well, likely a bit more given that we are trying to free up some more volumes on that front. Give or take with some tailwind from HNC, pencil in about EUR 100 million for the first quarter. Beyond Q2, BASF is regularly communicating around that force majeure. We don't want to get ahead of ourselves. I think we have a good anticipation going into the first quarter, but we'll continue to guide you as well. So we will be out there regularly meeting with you. But also when we come with our outlook for '25, we'll guide for the vitamin. And in fact, we don't want to look much beyond Q1 now. We also want to see how the order book is developing and at the same time, how we can place the volume and pricing strategically into our transaction around Animal Nutrition. But we'll continue to be transparent as we are today and guide you for that with a bit more detail once we get a bit closer to that as well. Then your third question around volumes, TTH. Yes, I think with the strong growth that we're witnessing, I think we can also safely say is that the combination is working. We're well placed. We've got good momentum in the business. The teams are excited. We've got good traction with our customers. Now is there some part of restocking? I think in these numbers, it's always difficult to predict, but given that we saw a sizable destocking last year, I'm sure there's something, but also going into October, we've seen a continued momentum as we've seen in Q3. So we're pleased with the volume developments that we've seen so far. Keep in mind, we have that regular seasonality also in TTH, specifically in December. But out of that, we see a continued good momentum for our business, and that makes us excited in that space.
Operator: Our next question comes from Alex Sloane at Barclays Bank.
Alex Sloane: Actually, the first one is a follow-up, Ralf. Very helpful in terms of scaling the vitamin potential tailwind in Q1. I wonder to what extent are you having success using the disruption in the industry to lock in ANH customers into longer-term contracts, so potentially capturing some of the value from the spike for any future owner of that business? That's the first one. The second one on TTH. Obviously, you referenced good synergy momentum. Just wanted to check, did you say 2% of the growth was from synergies? I just wanted to check that. The broader question there. I guess, are you still maintaining the two routes to market to the Firmenich brief machine and the DSM value proposition machine? Or has there been any more recent emphasis in combining routes to market? And if so, how is that landing with customers?
Ralf Schmeitz: Yes. Alex, great question. So thanks for that. We are doing our utmost, of course, in the ANH to have conversations. I think here, when two parties come together, I think the disruptive event in the industry once more indicated also to our customers that it's fragile. And I think I said that wording before, pushing suppliers down into a momentum that is not beneficial to any, it's not beneficial to a business longer term. And that's the dialogue that we have with our customers where we're seeking those long-term commitments. We're seeking to contractually agree upon pricing. You initially start with longer-term contract well beyond the year. I think it's always a business that is a bit more volatile, but you can definitely see there's an improved momentum, and you actually see customers coming back and also I don't want to call out admitting that there is a mistake. But I think being a reliable party has a premium. It always had a premium in the past. And that is something that we're now actively engaged in and makes us confident in terms of underpinning the business plan also that we're presenting to future owners. So we do get traction on that front. Keep in mind, it's also a quite diverse business because that is part of the quality asset that ANH is with a Premix network in 50 countries. So this also makes it a cumbersome exercise to go out and have that wide conversation. But the traction is clearly there, and we're also engaging again with customers that initially were seeking product elsewhere. So I would say there's good momentum on that front in terms of underpinning the business plan. Then tilting to TTH, yes, it's about 2% of organic growth. So we see now about EUR 15 million to EUR 20 million a quarter coming through in terms of synergy sales in TTH. In terms of pipeline, the pipeline is now moving into the EUR 280 million. We regularly called out the pipeline for TTH. So that is encouraging. We also see that being converted into signed business, which is well over the EUR 60 million on that front. And also that's excluding the actual invoiced sales. Like I said, it's around EUR 15 million to EUR 20 million a quarter now. and we see good momentum and also Patrick on his behalf as leader would be encourage you saying I'm happy to see the invoices go out and translating this into actual sales. So we're also penciling in our commitments that we shared at Capital Markets Day into the budget for next year. The route to market in TTH is still the same. So we still want to build on the two machines going into market. We brought the organization closer together on a regional basis, but that's more also on a science basis and the like. So the sharing of leads, information, product knowledge is easier because this is where the cooperation is important. But towards our customers, we want to protect with what we have. We see that we have good traction into the market. We're pleased with the offering. We see that we have that seat at the table and there's excitement at the opposite side of the table and that's something that we want to maintain. So we're also careful of keeping that in place. So we're running the business still as a Taste and Ingredient Solutions. However, at the backbone, we're bringing the organization closer and closer together to share that knowledge and benefit from that at the commercial side.
Operator: Our next question comes from Isha Sharma at Stifel Europe Bank.
Isha Sharma: Could you talk a little bit about the Early Life Nutrition. It seems like it is finally on a growth path. And if you could quantify a bit the sales from HMOs and is that the main contributor to the growth and what regions do you see doing better? And the other question is on Bovaer and Veramaris. You have also mentioned that they are doing particularly well within Animal Nutrition. Is this better than what you budgeted for and your expectations? And how should we think about it through next year? And then I just wanted to ask one follow-up. You had indicated earlier this year that we might get in the second half of this year some pro forma for the potential divestment of vitamin? Is that something you can expect? Or is that postponed to the first half of next year?
Ralf Schmeitz: Okay. No, let me take that down as well. So maybe let's first start with ELN. Absolutely right. Happy to see the improved momentum there. Like I said, double-digit growth for -- since a long time. You also heard me put some caveats around it on the back of easier comps because we saw that profound destocking on the back of low birth rates last year as well. So there's no massive change in the sentiment around the business, but it's good that we're back to growth. And at the same time, we also have the innovations come through on that front. The current growth is not necessarily driven by HMO, because we also said it will take time before we have cleared all the regulatory hurdles and got all the approvals. That is progressing nicely. As I said, we're working together with our customers on that front as well. But that is merely also going to contribute in '25 to the growth of our Early Life business. Now I understand you all want the absolute number. Now given also the sensitivity around that, we're not disclosing that, but the traction is good. We're working with all of the relevant names in that space, including the Chinese players, as alluded to before, but pleased with overall momentum on that front. And it also clearly subscribes that premiumization in this space is the relevant way to go, and that's also where our innovations are playing into. Then to the other two ventures. Bovaer, as I said, we're technically sold out. We have the premarketing volumes available. However, we are advanced compared to what we had in the plan, I think, subscribing to the good traction that we have. Dimitri and myself are regularly reviewing the development of the pipeline and the development with the key accounts, but the key focus is on getting the plant up and running. That has to be the priority in 2025. We're progressing on that front because we need more volumes to substantially grow, but the traction is good. We've got all the regulatory approvals, and we continue to be very active on that front in terms of marketing. Supported also by Elanco, who's regularly engaging with us as well. They were recently in Dalry looking also at the plant, which is subscribing the partnership that we have and they're actively marking the U.S. and they're knocking on the door for some additional volumes. So I think also there, we're getting the traction that we were anticipating for the offtake of the product. But key is that we've got this plant up and running and we have the large volumes available. So that's what we're focusing on. The marketing side is developing well and somewhat better than we had anticipated and penciled in, in the '24 budget. Same is true for Veramaris. I think the whole discussion around the sustainability is really landed in the industry, obviously, fueled by the irregularities in the fishery and the harvesting of the fish oil, the natural fish oil. I think what you now see is a sustainable effort. When we met at the half year, I also commented that there you see the consistency of quality, the ease of use in terms of operations is there to stay. And we actually see very nice growth in the Veramaris business, also ahead of what we had planned in, but also at the profitability level is moving into the direction that we want. It's an above margin business, and that is getting the right traction for us as well. Then last, you had a question around pro forma numbers. The team continues to work on that, and we'll seek for the right moment to provide you with that as well. So that is there. I'm not sure whether that will be exactly this year because we continue to focus on running the company as a whole and preparing for the transaction. But as I said, we're planning to launch it commercially at the beginning of the year and that will be a good moment to look at that.
Dave Huizing: I'm seeing that we have quite a few people to ask questions. Okay, that will not all succeed. So let's do the following. Can we do two still questions, so let's say, two people to ask questions, and then we have to close off. And that means we cannot accommodate everybody, but you always can phone us afterwards. So two people for questions, and then we go for closing. Yes. Operator?
Operator: Our next question comes from Fernand de Boer at Degroof Petercam.
Fernand de Boer: One is coming back on Veramaris. With fish oil prices coming down rapidly, what do you expect here? How to impact that Veramaris? And the second one and maybe more important is on the volume growth also in n Perfumery & Beauty. If you see a lot of Perfumery & Beauty companies across the globe, they are slowing down with sales, especially because of traffic in China. We have the warning of Ultimate, Scotty's, et cetera. So how do you view this? Where does your growth come from as these kind of customers are actually slowing down?
Ralf Schmeitz: Yes. Fernand, thanks for questions. Veramaris, what I said there is that this is clearly playing into the conversion towards a sustainable solution in the industry, that has really landed well as said, it got accelerated by the irregularities in the harvest and huge price swings. But this is here to stay. We've got a very strong order book there as well. We've got a lot of demand that's also reflected in the pricing momentum that we have in the Veramaris business. But also operationally, that once converted, we see quite a high stickiness with our customers given the ease of use, the consistency of supply and that makes it a very reliable solution for them as well. And the pricing is very much comparable. So there will always be a somewhat level of sensitivity, but we see that not having a real big impact given the strong demand for the overall product of the Veramaris venture, reflected in the growth and the quality of the margin. That's also when discussing with the Board meeting recently where we also had an outlook going into the year, we do see that continue to go forward as well. Then on P&B, as commented there, we see continued good momentum in fragrance that is continuing. We have a strong pipeline and an order book also going into 2025. We always place a bit of word of caution as well. The comps are going to be a bit harder than what we had this year but momentum is there. And at the same time, Beauty & Care is still to be seen. We're watching our customers there as well. At the same time, keep in mind, there is a strong growth in the regional accounts in Perfumery & Beauty as well. And at the same time, you see the corporates picking up as well, they're spending the euros, but the trends are higher inclusion rates, more demand for premiumized and mystique products. And that is a clear driver. And at the same time, we see that more euros are spent on high-end products, and that is actually fueling the growth. We're consistently now delivering strong growth, but the industry is doing well, but there's a clear reason on why there's a difference between the growth in some of our customers and the growth that we're experiencing in Perfumery & Beauty.
Operator: Our last question comes from Artem Chubarov at Redburn Atlantic.
Artem Chubarov: Most of my questions have been taken already. So maybe just a quick follow-up on synergies. Would you be able to split and quantify how much of your synergies, let's say, in TTH have come from cross-selling versus new product creation and mix effect? Is there any way to differentiate between those? And maybe just in here as well, I think you mentioned growth contribution in TTH, and I think it was a 1% contribution to P&B. Just wanted to confirm those numbers as well.
Ralf Schmeitz: Yes, those numbers are confirmed. So you heard that right. So that is true. It's always difficult to give the exact split there because ultimately, we're managing the pipeline accordingly to our same definitions, and we've set clear guidances, but what we also said is that initially, you'll see a faster contribution from the cross-sell because it's about opening doors with customers that we weren't before offering products that weren't necessarily available before. And that is obviously translating faster into sales. That's why we're also focused on this pipeline because especially these new developments take typically longer into the market up to 12 to 18 months. So if you look at the contribution now and the EUR 15 million to EUR 20 million contributing to top line in TTH, there's a good part coming from cross-sells, although we see some first wins on the side of product development coming through as well because the uptake on that is also very encouraging to see, but it's still a bit skewed towards cross-sell initially. Dave?
Dave Huizing: Go ahead, operator.
Operator: That concludes the Q&A session. I will now hand back to you Mr. Huizing for closing remarks.
Dave Huizing: Yes. Thank you, operator. And as I said earlier, please do not hesitate to reach out to the Investor Relations team for anybody who has more questions. I can imagine that we basically give more topic maybe you want to discuss. So please feel free to reach out to us, we are there. But Ralf, you want to make a few closing remarks and address the ESG thing before we close off?
Ralf Schmeitz: Yes. So it's more than an ESG thing, Dave. So -- but before going there, so again, pleased that you all joined this morning. We continue our journey relentlessly following up to make sure that we grow as a company and with that deliver upon our commitment to see a continued step-up in EBITDA and EBITDA quality. We continue the journey, again encouraged by a good Q3 and at the same time, be disciplined in our cash efforts. So I hope that is reflected in the earnings release that we shared this morning. Now back to the ESG. Following the SBTi approval, we also want to take you along on that journey. And just like we organized teach-ins earlier in the year around some of our businesses, we also want to do the same around our sustainability journey, and we'll be organizing an event early 2025. And Dave and the team will reach out with the exact details around that. But I think this is also an important element of who we are as DSM-Firmenich and we'll also continue on that trajectory as well. So stay tuned there. We'll send the invite and make sure that the relevant teams of your businesses are invited to take the latest and greatest on that front as well. And with that, we turn back to Q4 and focus on delivery of the year. And we'll see you on the road soon. And with that, Dave?
Dave Huizing: Yes. Thank you, Ralf. By the way, thank you, everybody, for listening in today. Operator, we can close the call.
Ralf Schmeitz: Thanks, everyone.
Operator: This concludes today's call. Thank you, everyone, for joining. You may disconnect.